Operator: Good morning. I would like to welcome everyone to the Plaza Retail REIT First Quarter 2023 Earnings Conference Call. [Operator Instructions] I would like to advise everyone that this conference is being recorded. And I would now like to turn the conference over to Kim Strange, Plaza’s General and Secretary. Please go ahead.
Kim Strange: Thank you, operator. Good morning, everyone, and thank you for joining us on our Q1 2023 results conference call. Before we begin today, we are obliged to advise you that in talking about our financial and operating performance and in responding to questions today, we may make forward-looking statements, including statements concerning Plaza’s objectives and strategies to achieve them as well as statements with respect to our plans, estimates and intentions or concerning anticipated future events, results, circumstances, or performance, which are not historical facts. These statements are based on our current expectations and assumptions and are subject to risks and uncertainties that could cause our actual results to differ materially from the conclusions in these forward-looking statements. Additional information on the risks that could impact our actual results and the expectations and assumptions we applied in making these forward-looking statements can be found in Plaza’s recent information form for the period ended December 31, 2022, and Management’s Discussion and Analysis for the 3 months ended March 31, 2023, which are available on our website at www.plaza.ca, and on SEDAR at www.sedar.com. We will also refer to non-GAAP financial measures widely used in the Canadian real estate industry, including FFO, AFFO, NOI and same-asset NOI. Plaza believes these financial measures provide useful information to both management and investors in measuring the financial performance and financial condition of Plaza. These financial measures do not have any standardized definitions prescribed by IFRS and may not be comparable to similar titled measures reported by other entities. They should be considered as supplemental in nature and not as a substitute for related financial information prepared in accordance with IFRS. For definitions of these financial measures and where to find reconciliations thereof, please refer to Part 7 of our MD&A for the 3 months ended March 31, 2023, under the heading explanation of non-GAAP measures. I will now turn things over to Michael Zakuta, Plaza’s President and CEO. Michael?
Michael Zakuta: Thank you, Kim. Good morning. Plaza’s business and tenants focused on essential needs, value and convenience offerings in open air centers remain strong and resilient and will continue to perform well. This quarter is a building block for future growth with record committed occupancy level, healthy renewal spreads and robust development pick line, which will contribute incremental income and value over the next few years. We completed 2022 with the most robust development pipeline in our history and our focus for 2023 is the execution and delivery of these projects. During the first quarter, we began seeing the results of these efforts with Mark’s opening a new store at our project in Bedford Halifax, Nova Scotia, Princess Auto opening stores at our centers in Chicoutimi Quebec and Sault Ste, Marie, Ontario, Dollarama opening at our center in Cambridge, Ontario. Further construction is underway with new grocery-anchored centers in Stewiacke, Nova Scotia, community just outside of Halifax, in New Brunswick and Oshawa, Ontario. We have delivered new winter stores in Sault Ste. Marie and Rouyn-Noranda, Quebec that will be opening soon. We’re also in the final stages of planning new grocery-anchored centers in Barrie, Ontario and well in Ontario, both of which we expect to start constructing in the next 12 months. Demand from grocery and other essential needs as well as value retailers remain strong and our development projects have generated significant pre-leasing activity. Our existing portfolio continues to benefit from strong demand, which is reflected in our widening renewal spreads and the highest occupancy level in our history. In the quarter, excluding the renewal of one larger size and closed mall tenant rents for renewals increased by 7.3%. Over the last year, we continued to face inflation in construction cost and supply chain challenges that delayed delivery of new stores and the resulting revenues. Our last 2 construction tenders that recently closed showing much better pricing than anticipated, 10% and 6% in below budget, respectively, leading us to believe that we have finally turned the corner on construction inflation for open-air style centers. We are still experiencing delivery delays for certain critical building components. However, we anticipate that these delays will dissipate as demand for construction materials softens through 2023. Our underlying business remains very strong. It’s interesting to note that our portfolio quality is improving in a meaningful way. We have and continue to successfully shed non-core assets at robust selling prices. We are then redeploying the capital from these sales to develop new, high-quality grocery-anchored essential needs and value open air centers across our geography. We are very confident that our business strategy and our tenants will withstand the macroeconomic challenges that everyone is facing. I will now turn the call over to Jim Drake, Plaza’s CFO. Jim?
Jim Drake: Thank you, Michael, and good morning, everyone. Although our results were muted for the quarter, as Michael mentioned, this quarter is setting us up for future growth. On those results, same asset NOI, which was impacted by minor bad debt allowances at a few properties this quarter, was up 0.8%. FFO and AFFO per unit were down versus last year in part due to an allowance provided to a tenant at a development property for late delivery of their premises. Higher interest rates also had an impact this quarter, but the repayment of our $47 million convertible debentures at quarter end will save us $2.4 million in annual interest costs going forward. For our development program, during the quarter, we completed the redevelopment of a QSR in London, Ontario. We also anticipate further completions in Q2, including Tri-City Center in Cambridge, Ontario and 2 new buildings in Sintrom, Quebec, which will contribute to earnings growth going forward. The committed occupancy level Michael mentioned, which was 97.6% at quarter end is a record level for the third consecutive quarter and up 130 bps over last quarter. Combined with the higher renewal spreads, this will also contribute to NOI growth going forward. On the balance sheet, the notable news this quarter was our $40 million equity issue and the repayment of our $47 million convertible debentures at quarter end. This was a significant transaction, particularly in this market and our first equity issue since 2016. It has allowed us to reset our balance sheet, avoid additional floating rate debt and provide additional flexibility. As a result, our debt to total assets ratio decreased considerably from approximately 56% at year-end, now at 52%, including land leases or 49% excluding land leases. Although our unit price was impacted shortly after our equity, a result of the U.S. regional banking failures and fair of contagion, we remain very confident in our business. Our liquidity remains sufficient and at quarter end totaled $71 million, including cash, operating line and unused development and construction facilities. We also had $18 million of unencumbered assets at quarter end. For mortgage rollovers, we have only $13 million of fixed rate mortgages maturing for the remainder of 2023 with an overall loan-to-value of 38% and weighted average rate of 5.1%. This rate is slightly above current rates, which we are generally seeing at around 5% or under. We continue to see strong interest in our mortgage offerings for both construction financing and term debt. We utilized various sources of debt, including banks, Life Co’s, funds and others. We are not experiencing any material tightening of credit availability or terms at this point and secured debt remains readily available for Plaza. Finally, on cap rates and valuation. We strong demand for essential needs and convenience such as ours and the sales of non-core assets during the quarter were at prices 16% above IFRS values. Cap rates were essentially flat quarter-over-quarter, and we took a $1.3 million write-up this quarter. Our weighted average cap rate is now 6.75%. Those are the key points relating to this for the quarter. We will now open the lines for any questions. Operator?
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Gaurav Mathur of iA Capital. Please go ahead.
Gaurav Mathur: Thank you and good morning, everyone. Just looking at the rent spreads this quarter, would it be – would that be a fair run rate for the year ahead? Or are you expecting any moderation?
Michael Zakuta: I think I don’t expect any moderation in run rate. I see spreads getting a little better going forward.
Gaurav Mathur: And just staying with the tenant base for the moment, we have seen some tenants stabilizing their revenues. And in certain cases, we’ve seen some tenants be in trouble as well. Any read-throughs to net new store openings or closures across the portfolio?
Michael Zakuta: We’re definitely seeing, as we’ve said, very, very strong demand for, again, essential needs, the value guys. You look at some of the stores we’ve recently opened or about to open the Princess Autos, the Dollarama, the Winners, those businesses are performing very well. The grocers, particularly in this sector are performing very, very well. So again, the QSRs continue to perform well as people trade down, looking for value propositions, whether it’s at a restaurant or at a grocery store or using a dollar store or any of other – those value proportions, there is a lot of runway for that presently. And again, a lot of our stuff that’s coming due, we’re a lot more sensitive about driving rents forward. And hopefully, you’ll see – I think we will see some better bids going forward. There always are exceptions there always are some – always a tenant or two that’s struggling, whether in good times or bad from our experience.
Gaurav Mathur: Okay. Great. And just switching gears here towards the dispositions done in the quarter. Could you perhaps provide a cap rate or a range at which these assets are disposed of? And how the buyer pool has been acting to transactions in the market?
Michael Zakuta: Maybe Jim will talk about cap rates, but the buyer pool is private money. These are small transactions. There is lots of demand. We just had a deal with unconditional bids on a small single-tenant asset, sub-5 cap rate. So we’re seeing that in our world. But these are very bite-sized deals, $1 million to $2 million. Again, there is lots of demand for that. And we sold all the way up to like $14 million to $15 million non-core to private investors, and there seems to be solid demand and clearly a very, very large disconnect between public market pricing of certain types of these assets and what people are prepared to pay for the $1 million, $2 million, $3 million sort of management free style assets. That demand remains strong and present. I don’t know, Jim, do you want to give any color on cap rates?
Jim Drake: Yes, I’ll add a bit of color here. So cap rates that we sold were probably in the 5% to 6% range. We also look at hurdle rates. So we look at up on FFO and cash flow versus the cash or the equity that we’re generating. We’re seeing some hurdle rates for FFO at 6% or 7% on some of these sales. So we can immediately redeploy that capital into paying down our OP line, for example, so that at that point we’re neutral and even accretive for FFO, and then obviously, longer-term, we’re using those proceeds to fund the development program, not only improving the returns, but also improving the quality of the portfolio.
Michael Zakuta: Jut to add, it’s really interesting. I made the comment. We’re really shedding, I’ll say, the non-core and we are replacing it with much better quality of assets. And I think that’s over a long-term game, real estate being a long-term game. But we’re very excited about that.
Gaurav Mathur: Great. And that’s a great segue segment to my next question because from an acquisitions viewpoint, some of these higher-quality assets, would you find any of them in the distressed market that could potentially fit into your portfolio?
Michael Zakuta: We’re not seeing the stress styles opportunities that would fit into that category. So if you look at the development that we are undertaking it’s either raw land or it’s a ward out old building that we’re tearing down to essentially create raw land. I think raw land, for example, we acquired 15 acres with a small bowling alley on, and the bowling alley will eventually disappear. Some land is sold off for residential, and we keep 10 acres for our development. So it’s essentially raw land that’s helping today. If you look at Stewiacke, we bought raw land, Dieppe, we bought raw land. In some cases, we have to buy houses and buildings and take them down to create raw land. So we’re not seeing the distressed opportunities yet. It’s relatively quiet.
Gaurav Mathur: Thank you for the color gentlemen. I will turn it back to the operator.
Michael Zakuta: Thank you.
Jim Drake: Thank you.
Operator: Thank you. [Operator Instructions] And your next question comes from the line of Munish Garg from Laurentian. Please ask your question.
Munish Garg: Hi, good morning, everyone. Just one for me, could you provide some more color on the delayed delivery for the development properties, whether these are like one-offs or you could see some more coming in the upcoming quarters? Thank you.
Michael Zakuta: So we’ve had a number of store deliveries being delayed. It’s been part of the reality of being a developer today. But we are seeing stuff stream, but it shouldn’t come on stream either in last year in the fourth quarter. It’s going to come on stream in the second quarter and not the first quarter. So we’re definitely leaving that on a number of locations and sites. We can’t give tenants, for example, owner power. We can a store front door or we can’t install – we don’t have HVAC to install. We are definitely dealing with that. It is getting much better but it’s not behind us entirely. And it does delay the start of revenue for certain projects. We are definitely living it. But again, I think that it’s getting better. We’re definitely. We’re seeing, as I mentioned, softer pricing from the contractors. So that’s good for business, and again, should lead to more consistent deliveries than what we’ve been experiencing over the last 12 months.
Jim Drake: And maybe I’ll just add quickly. Generally, those delays would result in a delay in the rent start. The penalty that we incurred this quarter was more of a one-off.
Munish Garg: Okay, good. That’s wonderful. I will turn it back. Thank you.
Jim Drake: Thank you.
Operator: [Operator Instructions] Mr. Zakuta, there are no further questions at this time. Please continue.
Michael Zakuta: Well, thank you for joining us this morning. Operator?
Operator: Thank you. That does conclude our conference for today. Thank you all for participating. You may now disconnect.